Operator: Good day and thank you for standing by. Welcome to the Emera First 2021 Earnings Call. [Operator Instructions] Please be advised today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Erin Power, Director of Investor Relations. Thank you. Please go ahead.
Erin Power: Thank you, Chris and thank you all for joining us this morning. Emera's first quarter earnings release was distributed this morning via newswire and the financial statements, management’s discussion and analysis and the presentation being referenced on this call are available at our website at emera.com. Joining me this morning for the call are Scott Balfour, Emera's President and Chief Executive Officer; Greg Blunden, Emera's Chief Financial Officer; and other members of Emera’s management team. Before we begin, I will take a moment to advise you that this morning's discussion will include forward-looking information, which is subject to the cautionary statement contained in the supporting slide. Today's discussion and presentation will also include references to non-GAAP financial measures. You should refer to the appendix for definitional information and reconciliations of historical non-GAAP measures to the closest GAAP financial measure. And now I will turn things over to Scott.
Scott Balfour: Thank you, Erin and good morning everyone. This morning we released our first quarter financial results but I'm pleased to say we're off to a solid start this year. Our business continued to perform well and delivered quarterly adjusted earnings per share of $0.96, an increase of $0.17. We continued to execute on our capital program, and we're on track to invest over $2 billion this year. And on the regulatory front following important rate case settlements for Peoples Gas and for New Mexico Gas last year, we've now filed a base rate application for Tampa Electric. Our financial results and the underlying drivers of our growth this quarter highlight the overall strength of our business. We continue to see strong earnings growth from our U.S. based utilities, and reduced corporate interest costs reflect the steps we've taken to strengthen our balance sheet. And our marketing and trading business continues to provide low risk opportunity for us to earn strong returns when market conditions present as they did this quarter. All of our major capital projects remain on time and on budget, while our teams continue to follow the enhanced health and safety protocols we put in place last spring as part of our pandemic response plans. We remain committed to investing between $7.4 billion and $8.6 billion through the end of 2023 in renewable and cleaner generation, system reliability and integrity, infrastructure modernization and customer focus technologies such as smart meters. Our investments are expected to drive robust rate base growth of 7.5% to 8.5% on an average annualized basis over the period. Carbon reduction has been core to Emera's strategy for more than 15 years. It's been a key driver of our growth, and it's what inspires our culture of innovation. In February, we announced our climate commitment, a set of clear future focused decarbonization goals. And we also shared our vision to achieve net zero emissions by 2050. This commitment builds on our successful track record of meaningful carbon reductions already achieved, and highlights our dedication to eliminating coal and advancing decarbonization. We're encouraged by the alignment with customers and policymakers who are also driving towards a lower carbon future. A proven strategy and successful track record positions Emera well to help lead the energy transition, but critically in doing so in a way that never loses sight of affordability and reliability. We fully expect that opportunities for continued and incremental investment will present themselves as a result of our dedication to reducing emissions and the global shift to a cleaner economy. And this in turn will also continue to drive long-term value creation for shareholders. The Atlantic Loop is an incremental opportunity we are pursuing, and while this remains a complex idea with many partners and stakeholders we continue to be encouraged by the momentum and the engagement from the federal government, provincial governments, and our utility partners. We hope to have more to say about this project initiative later this year. Our ESG commitments are core to our strategy and while our environmental commitments are driving our capital investment program, our social and governance commitments shaped our culture of doing the right thing for our customers, communities, investors and each other. Whether it's our commitments to inclusion and diversity across the business, continuing to advance our best-in-class corporate governance, or being an employer of choice everywhere we work, our ESG efforts speak to the core of who we are. At Emera, our top priority is always safety. We're committed to Emera where no one gets hurt, ever. This means fostering a safety culture where team members are personally responsible for their own safety and safety of others, and are empowered to speak up and act when they see potentially unsafe conditions or behaviors. Over the last number of years, we've seen our safety record improve. And in 2020, we achieved our best ever safety results with the fewest number of injuries ever recorded in our business. This is a significant accomplishment in any year, but especially so given how we adapted and added new protocols in response to the global pandemic. However, recent contractor fatalities and serious safety incidents across our business tragically highlight that the work in this important area is never done. But I'm encouraged by the team's commitment, and I can tell you that we are more resolved than ever to achieve an Emera where no one gets hurt. Before I pass the call over to Greg to take you through the financial results, I want to briefly update you on the Tampa Electric items. Early last month, we took the next step in the regulatory process and filed our petition with the Florida Public Service Commission. Our request includes an increase in base rates of US$295 million in 2022, and an incremental US$130 million over 2023 and 2024. If approved, these base rate increases support and enable the significant investments in cleaner, greener and smarter energy solutions, all while keeping rates among the lowest in Florida and below the national average. As I've noted in the past, our rate request is relatively straightforward. About half the revenue ask is related to major capital items, smart meters, Big Bend modernization and solar investments. Another 40% relates to depreciation expense, to increase depreciation rates in line with a depreciation study filed last December and to recover accelerated depreciation and dismantlement costs associated with the early retirement of co-units one, two and three at the Big Bend station. The remainder of the increase is for other smaller items. We expect the decision from the Public Service Commission later this year to allow for new base rates to be effective January 01, 2022. Finally, before I turn it over to Greg, to take you through the financial results, I'd like to take a moment to thank and congratulate Nancy Tower, who officially retired as President and CEO of Tampa Electric last week. As you know, Nancy had an impressive career at Emera. She has been a key part of a growth story too. Her accomplishments are many, and we're very grateful to have benefited from her leadership over the years. On behalf of the entire team, thank you, Nancy, you will be missed. With Nancy's retirement, Archie Collins is with us on this call officially assumes the role of President and CEO of Tampa Electric. Archie also has a long history with Emera and most recently has been part of the Tampa Electric leadership team, using natural successor to continue the positive momentum of the Tampa Electric team as they continue to deliver value for customers, cultivate a strong safety culture, reducing carbon emissions and driving growth at the utility. Overall, I'm pleased with our solid start to 2021, and I'm incredibly proud of the team and how they continue to respond to the challenges of the global COVID-19 pandemic. Despite being asked to change the way they work to keep themselves in each other safe, the team hasn't missed a beat. Our businesses continue to perform well, and our teams continue to deliver the energy your customers need. Looking forward to the rest of 2021 and beyond, I remain confident that Emera is well positioned to continue to advance our strategy and deliver on our financial commitments. And now, I'll turn it over to Greg to take you through the financial results. Greg.
Greg Blunden: Thank you, Scott and thank you all for joining us today. This morning we reported first quarter adjusted earnings of $243 million and adjusted earnings per share of $0.96, compared to $193 million and $0.79 in the same period last year. As we'll take you through in a moment, growth and adjusted earnings per share was primarily driven by U.S. based utilities, lower corporate costs and improved earnings in our market and trading business partially offset by a stronger Canadian dollar and a higher share count. Our utility operations and the corporate services that support them are the driver of Emera's growth. Since 2017, the first full year with TECO in our portfolio, these operations have been generating predictable and consistently increasing adjusted earnings per share, driven by investments in rate base, discipline O&M management and working constructively with our regulators and customer groups. Between 2017 and 2020, regulated and corporate EPS grew by 5% over the same period, we saw our corporate interest cost and kind lower largely due to the strengthened balance sheet and in 2020, we're seeing these trends continue. With over 95% of our earnings coming from regulated operations on an annual basis, the overall quality and predictability of our earnings and cash flow is high, and the continued execution of our strategy, making investments to safely provide cleaner and more reliable energy to our customers, while ensuring that energy remains affordable will continue to drive growth in earnings, cash flow and dividends. Most of our unregulated earnings are attributed to Emera Energy, Emera Energy's earnings have historically been positive on an annual basis, but they will vary both quarter-to-quarter and year-to-year, depending on market conditions causing volatility in our consolidated results. While their financial results are not as predictable as those from a regulated business, Emera Energy's low risk operations provide us with the opportunity to generate earnings and cash flow upside when there's market opportunity. And in this quarter, our unregulated earnings per share grew by $0.07, primarily due to improved earnings from our marketing and trading business. It hasn't been an easy time for this business over the past few years, but the February winter storm event in the Midwest drove pricing volatility across the U.S. Emera Energy was well positioned to benefit from this volatility while maintaining supply to their customers. And now I'd like to turn our attention to the details of the regulated and corporate earnings. Growth in the first quarter was largely driven by lower corporate interest and long-term compensation costs, new base rates and customer growth at Peoples’ Gas and hiring a BDC earnings and customer growth at Tampa Electric partially offset by a stronger Canadian dollar and a higher share count. Pretax corporate interest costs were lower in the quarter by $13 million, primarily due to the retirement of debts on the proceeds of the sale of Emera Maine last year. Lower short-term interest rates and a stronger Canadian dollar also contributed to the decrease. This is a continuation of a trend that we've seen since the second quarter of 2020 and reflects the steps we've taken to strengthen our balance sheet. Pretax corporate OM&G was $16 million lower in the quarter of this variance $12 million raised to lower long-term compensation costs. The decrease was driven by differences between Emera's 50-day average share price leading into the quarter and our share price at quarter end. Because these gains are driven by the timing and trends of share price movements they're likely to reverse them over the balance of the year. Excluding the impact of a stronger Canadian dollar earnings of our gas and infrastructure segment increased by $14 million in the first quarter of 2020, over the first quarter of 2020. Growth was primarily driven by new higher base rates of Peoples’ Gas and New Mexico Gas and strong customer growth of 5% of Peoples Gas. First quarter earnings from Tampa Electric were also solid. Excluding the impact of a stronger Canadian dollar their quarterly earnings contribution increased by $9 million, driven by continued investment in the Big Bend Modernization and non-solar projects partially offset by less favorable weather. Compared to the first quarter of 2020 milder weather reduced earnings by USD8 million. Earnings from our remaining utilities were relatively consistent quarter-over-quarter. However, I will pause to mention the results in Nova Scotia Power. Here in Nova Scotia, we experienced an incredibly mild winter between November and March weather conditions were some of the mildest we've seen in the past 50 years. Unfortunately for Nova Scotia Power, this created an earnings headwind because Nova Scotia Power is a winter peaking utility, it will be very challenging for them to make up the earnings loss in this quarter over the balance of the year. As a result, we have updated our earnings guidance to reflect the expectation that they will earn in the low end of the early bands this year. And finally, both foreign exchange and a higher share count provided headwinds. Fortunately, we are partially hedged against FX movements this year and at the end of the first quarter, we have $75 million of U.S. hedges remaining at a rate of $1.42. As these hedges roll off, the realized gains or losses will mute the impact of FX movements, such as penny change in the FX rates will move annual adjusted EPS by about a penny through 2021. On a non-hedged basis, that same penny change in FX rates would move EPS by approximately $0.02. Before we open the line for questions, I would like to take the opportunity to highlight the expected coming steps changes in our operating cash flow. As you know, over the balance, over the past couple of years, we've been focused on strengthening our balance sheet. Since 2018, we have retired over $1 billion of holding company debt, reduced our Holco debt to total debt ratio to below 40%. And return to our capital - target capital structure, all while maintaining sufficient liquidity. We've also become more regulated which has improved the quality of our cash flows. And while the select asset sales we affected temporarily paused our cash flow growth, we always knew there were significant cash flow events on the horizon. Over the past 12 months, our business has generated $1.4 billion of normalized operating cash flow. And while the results this quarter include the casual flow impacts of the USD100 of incremental gas costs incurred in New Mexico Gas, these prudently incurred costs will be recovered from customers over timeframe to be finalized with the New Mexico public regulation commission by the end of 2022, we will see our operating cash flow increasing significantly to over $2 billion driven by a few events. If that's approved, the Tampa Electric rate case will generate an incremental USD295 million as base revenues and expected incremental USD280 million of operating cash flow. The second half of this year we expect the Labrador Island Link will be commissioned. Once commissioned, our current non-cash earnings will convert to cash increasing our operating cash flow by approximately $75 million. And new base rates at Peoples Gas and New Mexico Gas came into effect at the beginning of the year. We've seen incremental benefits of these rates in the first quarter of this year. And we'll see further upside over the balance of the year. And finally, we expect to continue to see natural growth in our operating cash flow. With a stronger operating cash flow profile, we have a clear path to achieve the target credit metrics set by the rating agencies. Our continued execution of our funding plan will support achieving our credit objectives. Last quarter, we issued $110 million of equity through our dividend reinvestment and at the market equity programs and raised $200 million of preferred share financing. Our base shelf has an additional $300 million of capacity remaining. And as I've noted in the past, we had the balance sheet capacity to issue approximately $500 million of hybrid capital over the forecast period. Our solid start to 2021 senses up well for the balance of the year. And while the quarter does not make the year, I believe we are well positioned to deliver earnings growth and drive investment for our investors while delivering cleaner, reliable, affordable energy for our customers. And before I turn the presentation back over to Erin, I would like to welcome [David Hansen] back to our finance team. Effective May 1, Dave has assumed the role of Vice President Investor Relations and Pensions. And I know you all enjoy the opportunity to get to know Dave. Erin?
Erin Power: Thank you, Greg. This concludes the presentation. We would now like to open up the call to take questions from analysts.
Operator: [Operator Instructions] Your first question comes from Linda Ezergailis of TD Securities. Your line is open.
Linda Ezergailis: Thank you congratulations to a strong start to the year. I'm wondering if you can give us a sense - some more context around your Tampa Electric rate filing. Specifically, as it relates to inflationary pressures, what are your embedded assumptions around there and if inflationary pressures increase more than expected might there be any sort of relief or how are you thinking about that?
Scott Balfour: Linda, it's Scott so thank you for the question. And let me start and then Greg, maybe you can help and I know Archie Collins is on the line too. Certainly, Linda's relates to you know, the rate filing a lot of that capital that is a big driver of the rate requirement, the revenue requirement, that's part of that rate case is already well in motion and a lot of cases actually, you know, either their work is already complete or well advanced. And certainly much of it has been cost controlled not all of it as some of the solar program continues to advance but of course, smart meters, Big Bend Modernization work is all well advanced with all major equipment and labor costs already committed and contracted or procured or in some cases even in place. And of course as mentioned, the rest of the revenue ask really relates to the depreciation, which doesn't impact things as much, as a broader sort of override lens on inflation, Greg, anything that you can add to Linda's question?
Greg Blunden: Maybe just a couple of things, I meaningful - we kind of think of our inflation, I guess, exposure if you will in a particular business through a few different lenses. Obviously to the extent that resulted in higher commodity prices or fuel prices in particular that would flow through the field adjustment mechanism that we have. We've done a pretty good job of terming out our debt, so we don't have a lot of risk from an interest rate perspective. Obviously, we may see some on the capital side and if that's the case, and obviously, the capital that we're investing could be slightly higher. But then really the area that might have more on a shorter term basis, impact is going to be just on our day-to-day operating costs. But - we can control the labor through our existing labor agreements and those kinds of things. So there's probably a relatively minor piece that we would have a little bit exposure, we did build an inflation assumption that we think is sufficient in the rate case filing. So at this point, I don't think it's anything that you should be overly concerned about.
Linda Ezergailis: Thank you. And as a follow-up, I just wanted to also get some more of your thoughts on your financing plans, recognizing that you still have some room on your at the market program? Is it reasonable to assume that still is a lever that could be likely? And just maybe some more thoughts on how you might term out - potentially your drawn credit facilities, and how any sort of thoughts of dividend policy task, task 2022 might inform how you approach your permanent financing plan?
Greg Blunden: So Linda, this is Greg, let me start. So I think you accurately characterized it we're happy with our ATM program as well as - we're going to continue with those two mechanisms to raise common equity, we find it very cost effective and allows us to raise it when we needed no earlier or no later. We've been kind of historically over the last, I'd say couple years raising about $50 million a quarter on our - market equity program. I think that's kind of a run rate that you should probably assume and something relatively consistent with that on our growth as well. We're always looking at our credit facilities and is there an opportunity to trim some of that out. You may have noticed in the quarter, we did exactly that at Tampa Electric with and $800 million bond issuances that effectively took their revolver down to zero balance. So we'll continue to look at that no immediate plans to do anything different over the near term. And then as far as dividend policy, I think that's ultimately a board decision, and we would expect that our current guidance will be some updating of that in the fourth quarter of this year as we nutritionally have done in the past.
Operator: Your next question comes from Rob Hope of Scotiabank. Your line is open.
Rob Hope: First question is just on the opportunities under development. You continue to add well call it $170 million of potential opportunities in 2021. How are you seeing some of those shorter term opportunities progressing? And then it looks like Atlantic Loop is more of a back half kind of next step for information there?
Greg Blunden: Yes, Rob it’s Greg, I think good morning. The projects that we have under development really haven't changed as you highlighted both half of it is Atlantic Loop or something like that. Now, the Atlantic Loop is a collection of projects, some of which will go forward irrespectively Atlantic Loop for example a stronger interconnection between us and New Brunswick. So those projects are progressing reasonably well. We have some modest projects I would say still under development for 2021. And whether they land in this year or the early part of next year, I still think it's a little premature to know that for sure.
Scott Balfour: Yes, maybe if I just sort of speak to the - I know the reference to Atlanta Loop is what catches some attention with media and the like. But the path to continue to decarbonize Nova Scotia, the path to retire the coal plants in Nova Scotia involves much more than the Atlantic Loop. The idea of transmission interconnect that's, certainly an important backbone enabling components of that journey to continue to decarbonize inclusive of coal plants. But there's a lot of infrastructure that needs to be built and enhanced in Nova Scotia as well. And so we'll see some of those things happen probably irrespective of the sort of the technically defined Atlantic Loop Transmission project as Nova Scotia Power continues its journey to decarbonize and progressively retire its coal plants.
Rob Hope: Excellent all right. Second question, just taking a look at the TECO rate case once again, it's been out there for a little over a month now, what is the feedback and from stakeholders and any opportunity for settlement here?
Scott Balfour: Archie, you want to take that one?
Archie Collins: Sure, good morning, Rob. I would say to this point, feedback from stakeholders has been balanced. It's been fair I think there's a recognition that the investments that we've made or that we are making are things that customers are interested in. It's what society is interested in, we're decarbonizing. We're driving down the use of coal, stabilizing our fuel cost over time and so modernizing our grid, improving resiliency, reliability. So, I think that there's an acknowledgement that these are investments that are in the social interest, and that over the long-term, they're good for our customers. And so, we've been pleased that for the most part, that's the feedback has been fair and balanced. From the perspective of a settlement, a settlement is always a possibility. But at this point, we are preparing ourselves for a fully litigated rate case. We have every expectation that we're preparing ourselves for that eventuality, if a settlement presents itself, we will be willing to engage. But we wouldn't think that would present itself until much later in the process probably after we've completed discovery. So we're open to it, but preparing to go right to the end of a fully litigated rate case.
Operator: Your next question comes from Maurice Choy of RBC Capital Markets. Your line is open.
Maurice Choy: And my first question speaks about Slide 12, which is a great disclosure from an operating cash flow perspective. Any color on possible puts and takes, its various components there, change, particularly, if I look at the Tampa Electric rate case at CAD375 million that's USD280 million? And you mentioned that that's in line with what you've asked in a potential event that we don't get everything that we ask. Where would you see the potential tailwind to be to make up for your targeted operating cash flow?
Greg Blunden: Hi, Maurice it's Greg. Yes good question. I mean if you look at Slide 12, and the buildup of the various items, I mean a couple of them have either already been executed or its question the timing in particular, P&L and our gas LDC's, our rate cases which we've had settlements late last year. Obviously, the biggest piece is the Tampa Electric rate case. I will say that the combination of those four items identified on that page, probably increase our credit metrics our CFO [ph] to debt or FFO to debt by some is around 300 to 400 basis points. And so to the extent that one or two of these numbers turns out to be less than what we have illustrated here. We'll still be comfortably where we need to be from a credit rating agency perspective. So that's kind of the way to think about it. I think if you think of a rate case at Tampa Electric, I think the average in the U.S. is generally around at 60% to 70% success rate in terms of getting what you asked for. I think Florida probably traditionally has been at either the higher end of that or slightly above that. So I think it's fairly to probably handicap that number by some amount if you so choose. But even so we'll still be comfortably where we need to be from a credit metric perspective.
Maurice Choy: Good and just a follow-up to that, obviously the first component only comes in 2022 whereas the rest of it, bits and bobs of it come in this year. Any update on your discussion for this year's review, specifically 2021 rather than 2020?
Scott Balfour: With the rating agencies Maurice?
Maurice Choy: That is correct.
Scott Balfour: Yes, so as always, we have ongoing conversations on a regular basis with all three of the rating agencies, S&P, Moody's and Fitch. I don't know what the timing is of Moody's or Fitch to issue a report this year. But S&P just issued their annual report a few weeks ago and reconfirmed our rating and outlook. So there's no change in either. And we're just waiting to hear from the other two as to what their schedule is for the balance of the year.
Maurice Choy: Great. And if I could just finish up on the opportunity set beyond your base plan. You mentioned earlier that $1.2 billion haven't changed much this quarter. I wonder if you could just elaborate a little bit more about, recent developments, both in the U.S. and Canada with regards to climate commitments? Have you seen an opportunity to increase that $1.2 billion - I mean we should be looking at in terms of spend, and with that any intent to take actions sooner or later to fund this potential increase?
Scott Balfour: Maurice it’s Scott. I think directionally of course, what's happening, the focus the intense focus that's on many stakeholders of pushing decarbonization and whether that's federally driven climate energy policy in Canada or the U.S. is of course, directionally positive for a company like Maurice and obviously - our whole strategy is anchored centered on been delivering on decarbonization efforts and related investments for many years, almost two decades. So in that sense, for sure it's directionally positive. And I think as we look for opportunities to accelerate decarbonization or to respond to the requirement to decarbonize faster if legislative impetus gets put into place, then obviously, we're really well positioned to do that. And yes, I think that, bodes well for what our CapEx profile and growth can continue to be maybe within the forecast period, but certainly beyond it. And so, I think that's just why we are, are feeling confident about the positioning of the business and the strength of the - appropriateness and the durability of our strategy right now, because it provides that opportunity as we continue to execute for customers to also be aligned with the accelerated pace that's being driven by many policymakers. Of course, one of the really important things in this of course, is that is acceleration quickens. That does drive cost, and we're going to continue to work to ensure we're representing customer's interests as well as we can to ensure that it's also affordable and finding ways in order to accelerate the decarbonization, but still keep it affordable. And obviously, the Atlantic Loop our project or more broadly as we describe it, Eastern Clean Energy Initiative for us in Atlantic Canada, is really borne out of that idea of how do we do this faster, but still keep our eyes on and manage the implication of costs for customers. So it keeps us encouraged about what the future holds, nothing that will likely add much in a way of CapEx growth in 2021, but certainly as we get into the later part of the forecast period and beyond. I think, these will be driving forces that should continue to drive Emera's growth for years to come.
Maurice Choy: And just to follow-up on that you mentioned that, legislation needs to be put in place. Do you view that the ball to be on the government's side of the court in terms of putting next steps out or is it one for the industries such as [indiscernible] so to come out of the solution?
Scott Balfour: Well I mean, for sure we have to drive the solutions. But we also have to work within the parameters that get established for us within the range of legislation and regulation. And of course, our most regulatory constructs require us to produce the lowest cost, but compliance electron that we can, not the cleanest, but the lowest cost and compliance electron. And so to the extent that we can, as we are - the Big Bend Modernization project in Florida. We're undertaking that because that cleaner energy, that transition from coal to gas at the Big Bend station is more affordable for customers it is it is less expensive, and therefore, that's a great self driven initiative. The same with much of our solar investments right now, those are all happening because they are cost effective for customers. But at the same time, if there was for example, carbon pricing in Canada that the Liberal government has of course proposed higher carbon pricing means that - affordability lens looks different in 2030 to 2040 at $170 of carbon, per ton of carbon, that it would if there was no price on carbon. And so that would require Nova Scotia Power to work with the provincial government to arrive at a solution that within the parameters of that carbon tax or that change legislation continues to produce the most affordable solution for customers while being compliant with the - whether it's carbon tax or emission regulations or whatever the case maybe.
Operator: Your next question comes from Mark Jarvi of CIBC Capital Markets. Your line is open.
Mark Jarvi: Maybe going back to the Tampa Electric rate case, is there anything that can be gleaned from the Duke Florida settlement in terms of their depreciation studies rating relative to what you propose, we can see whether or not staff might be on board with your proposal, given that's a substantial part of the step up in rates?
Scott Balfour: I think it start this way, and if Archie or Greg want to chime in with let them - look I mean in every rate case submission is different and I think and everyone would need to be careful, we need to be careful about interpreting the result of one rate case into another. Of course, we pay attention to that we pay attention to the rate case filing that the Florida Power and Electric have done. But in our case it needs to stand on its own in the merits of the capital that's been invested and the depreciation study, the independent depreciation study that has been done that helps to guide those discussions. And the team at Tampa Electric I know has put a huge amount of work in to ensure that as it's responding to the needs to invest that capital and address the appropriate requirements for depreciation and overall cost of the business that it’s doing so prudently and with a lens on impact to affordability for customers. And so, confident in that sense that the work that's been done in the rate case that has been filed with the support for that all stands on its own very well thought through very well considered with benefit of expert opinions, and the team will work through that process with stakeholders and the FPC as the year progresses.
Mark Jarvi: Okay. And then for Greg, obviously, some proposals on tax changes in the U.S., but also in Canada. Does that put you in a bit of a holding pattern in terms of positioning of corporate debt or any sort of updated thoughts in terms of how you might respond if there are some changes in taxation policies?
Greg Blunden: Yes, it's probably a little bit early to tell. I mean, I think it certainly looks like if I start in the U.S., Mark that the Biden administration is looking to increase corporate tax rates, that really is remaining tax on our planning. There is an U.S. denominated debt with the after tax cost would be lower than it is today, but it doesn't really have any impact to us from that side of it. It looks like the discussions we're having around the thresholds for alternative minimum tax would be sufficiently above our taxable income in the U.S. So we shouldn't get caught by that at all. If I turn to Canada, really it looks like a couple of themes that are emerging. One is the elimination of any kind of cross border tax structures. We really don't have anything in place that is worth mentioning. So that's something that we're very focused on at this point. And then I guess the last thing is they're still working through the mechanics on, is there going to be any kind of interest deductibility limitation, which we have to be careful what I think in Canada, because obviously, Canadian utilities run at a much thinner capital structure. And I certainly wouldn't want to see us in a position where we couldn't raise incremental debt at the Canadian regulated utilities because of that kind of limitation. So I think there's some work to be done in that. It probably pushes us long-term that means which we really are effectively today, what it means is, is holding company that is probably going to be raised in the United States, as opposed to Canada is what I be speculating at this point.
Mark Jarvi: That's great color. Thanks for that Greg. And my last thing, just coming back to you Scott, in terms of the balance of the legislation, and regulation in terms of big initiatives, like Atlantic Loop, update us in terms of like, at this point, are you socializing what you're thinking with the regulators in Nova Scotia like how do you get to then come back to the table with your neighboring provinces, are there people to discuss Atlantic Loop you have enough confidence that you're putting us in the right boundaries of regulation and proven cost recovery?
Scott Balfour: Yes, Peter, are you comfortable to answer that?
Peter Gregg: And Scott, I guess what I'd say to that and good morning everyone is that, it is a complex project involving multiple stakeholders, multiple provinces, utilities. And so we are having, like say, still early day discussions with all and there's opportunity, I think to bring more those stakeholders into the discussions in the coming months that both Scott and Greg said earlier. I know we hope we'd have something more to say towards the back half of this year. Scott I don’t know must be you’re knowing - you want to add to that.
Scott Balfour: I think that's exactly right Peter and Mark I think the only other thing I'd say is look it is a, it's multiple stakeholders involved in anything like the surround energy policy and in our case in Nova Scotia, as we work to ensure that - as the changing landscape of energy policy federally to the extent it impacts the province other province is deeply engaged in that and of course, Nova Scotia Power continues to work with always works with its regulator and its stakeholders. And that process has started here now of course, it's not perfect clarity yet on any of these things, but keeping those stakeholders aware and involved and engaged through the piece, we're pleased that the provinces awareness, and support of something like the Atlantic Loop requirements of federal engagement and helping to solve the challenge in Nova Scotia. But all this is complex and multiple stakeholders involved and Peter and the team at Nova Scotia Power are doing a great job and ensuring that engagement and alignment as best as possible.
Operator: Your next question comes from Ryan Greenwald, Bank of America. Your line is open.
Ryan Greenwald: Potential developmental opportunities, can you guys talk a bit about how you're thinking about any discrete opportunities coming out as potential infra bill in the U.S.?
Greg Blunden: Ryan it’s Greg so go ahead Scott.
Scott Balfour: If you're going to start Greg, go ahead.
Greg Blunden: Again, I think this is probably similar to right it feels a little premature I mean, there's a couple of things. I mean obviously, there's the infrastructure bill and we're looking at what that might mean for us, I'd say probably not in the next couple of years, but as we look broader than that. And then of course, there is more of a, sensitivity in some of the markets too as well, in terms of system resiliency in particular, because of the events in Texas. So, I think there's a couple of things that are happening all very consistent with the themes that have driven our capital investment to this point. And we're looking to see what the opportunities may mean, for us and for our business and for our customers. But we haven't concluded on any of those things yet.
Ryan Greenwald: Got it? And then just in terms of hedging, any thought process at this point, given the pressure of late and FX in terms of looking at the later years? And just to confirm you guys have no hedges beyond 2022 at this point?
Greg Blunden: That's correct.
Ryan Greenwald: Any thought process around implementing some now are still kind of too early at this point?
Scott Balfour: Sorry, Ryan I missed the first part of your question.
Ryan Greenwald: Just in terms of your thought process at this point, in terms of implementing hedges for the later years, given the pressure more recently and FX?
Scott Balfour: Yes, we'll continually look at it. But at this point in time, we haven't put any incremental hedges at these levels.
Operator: You're next question comes from David Peters of Wolfe Research. Your line is open.
David Peters: Yes, I don’t know have a formal guidance range. But just curious back to the FX, if you could just comment on potential impacts for 2021 and any offsets you have against those headwinds? I appreciate the hedges that you have in place. But I think originally, you assumed a rate of $1.28 versus the $1.21 that we're currently sitting at?
Greg Blunden: Yes, that's correct, David. So in the current year, each $0.01 change in that in 2021, would be about a penny in EPS. And for 2022 would be able to $0.02 in EPS.
David Peters: Can you talk to any offsets elsewhere in the business that you're seeking to help kind of offset those pressures?
Greg Blunden: Yes, it's a good question. I don't know, certainly it wouldn't necessarily be linked to it. But we're also seeing, as you've seen in our Q1 results, and I'm sure you're seeing many of the companies that you're covering. We're seeing things like obviously, lower short-term interest rates, then maybe most of us would have thought a year ago, which is certainly helpful. All of the capital that we're investing for better versus is going in Tampa Electric and Peoples Gas and New Mexico Gas at a lower FX rate. So our capital requirements at a consolidated basis are slightly less. So there's a few things that probably helped mitigate it a little bit, but it is a volatility to that.
Operator: Your next question comes from Andrew Kuske of Credit Suisse. Your line is open.
Andrew Kuske: Thanks, good morning. Scott, you mentioned a little bit about effectively the cross border divide on decarbonization was pretty clear policies in Canada. And then obviously, a really robust solar resource in Florida I guess, just on a longer term basis. How do you think about decarbonization unfolding with that cross border divide? And then when you start thinking about the interplay of demand, side management, distributed generation, that's effectively customers having batteries in their houses? How does all that play out on a longer term basis I know this is a big picture question, but how do you think about that now?
Scott Balfour: Yes, well I think, Andrew it comes down to simple things like ultimately, we've always got to be focused on making sure that we're providing cost effective solutions to customers. And so, the team at Tampa Electric has done a fantastic job of think about the shift in the generation, profile at Tampa Electric from just even when we acquired TECO back in 2016. Now with 655 megawatts of solar that's in service and another 600 megawatts plan that will take it to order of magnitude 15% of their of their generation profile. And then the coal to gas conversion, effectively the retirement of three - of two coal units and the conversion of another coal unit to high efficiency natural gas, again just a massive change in not only the generation profile, but the carbon profile for Tampa Electric, and in that case, all doing it on a basis that is more affordable to customers, then if it hadn't made those changes. And so really continuing to think about the business that way too as I say, Emera's culture of innovation which is a big word and maybe it doesn't sound like it really should apply to any utility perhaps, but there's an element of that in driving the transition that has happened in Florida, that has already happened, and still needs to happen in Nova Scotia and frankly in the Caribbean and our gas utilities too. And certainly as we think about distributed generation, and that trend Tampa Electric there too is playing its part with looking at community solar, where with the work that Rob Bennett is doing with Emera Technologies, thinking about the role that we as a utility can play to enable and accelerate the use of distributed energy, the use of batteries being used now in our Caribbean businesses, in plans in Florida, in service now in Nova Scotia and the opportunity for more, which will be an important component of ensuring resiliency as part of the transition to more intermittent renewables. And whether those batteries are at customers' homes or parked in solar or wind generating facilities or its substations. It's going to be all of the above. And so the utilities have I think an important role to play in all of that. And I think that broader trend of policy whether it's driven at the provincial level, or the state level, or the federal level, or just by economics is going to be a continuing driver of capital programs and growth and there are for many years to come still.
Andrew Kuske: Appreciate those thoughts. I guess my second question is - still relates to cross border divide is probably more for Greg. And it's just in your CapEx slides in the deck, did you see it being useful in the future to maybe just have the U.S. dollar CapEx for the U.S. business. And then the Canadian CapEx that obviously your Canadian dollar reporting issue were you have a translation rate on the deck. Do you feel that that will mask the growth of the underlying growth in the U.S. business that's happening on a U.S. dollar basis?
Greg Blunden: It's a good suggestion, Andrew, I mean, we try not to overreact a year ago when the dollar was at $1.42 and reworked a lot of that and trying to do the same consistency today. But it is a good suggestion, we'll take that away. Make a lot of sense. Thank you.
Operator: [Operator Instructions] The next question comes from Patrick Kenny of National Bank Financial. Your line is open.
Patrick Kenny: Yes, good morning. I just wanted to clarify guys on the Tampa filing, what the process looks like if the U.S. corporate tax rate does go up to 28%. Is there an automatic adjustment to the revenue requirement or do you have to go back in for approval? And could there be a potential lag in realizing that cash flow uplift relative to the Jan 01 effective date?
Scott Balfour: Greg?
Greg Blunden: Yes, Patrick. We've asked for a mechanism to recover that. But I think it's fair to say that you should expect some kind of regulatory lag on that. So even when tax rates went down, I think there's still a full-year before that's savings flows back through to customers. So even with a mechanism improved, I don't think we'd see any impact of that till probably 2023.
Patrick Kenny: And then just on the trading and marketing frontier, he may have touched on it already, but can you quantify just how much of the performance in the quarter was simply extreme weather driven versus perhaps structural in nature going forward?
Scott Balfour: Judy, over to you.
Judy Steele: Okay, well, I guess that's an interesting question. I mean, the business generally makes hay in big weather events. So I don't - I mean, I can say - well, let me put it this way, I would say we made somewhere between 10 million to 15 million U.S. of margin in what I'll call markets adjacent to where the most turmoil was. So I think of that as kind of benefiting directly from the yearly event. So after tax that's probably 10 million to 15 million bucks I guess. The New England weather didn't really blow out at any time, but it was steadily cold through the quarter. And that's what we like to see. So prices in New England were kind of almost double what they were at this time in the first quarter last year, but still kind of an average of $5 to $6, and peaking out at $14 or $15. So, I would kind of call that a normal cold winter. So if I had to try to answer your question in some meaningful way, I would focus on what margin we earned kind of in adjacent markets to where [indiscernible] was really impactful, and like I said that somewhere between 12 million and 15 million of margin.
Patrick Kenny: Okay, that's very helpful. Thanks, Judy. And then just over on the Caribbean frontier, any leading indicators you can speak to with respect to travel and economic activity, perhaps coming back later this fall to more normalized levels?
Greg Blunden: Yes, I think Patrick largely, I mean really our Caribbean interests are centered in Grand Bahama and Barbados, of course, we have interest in St. Lucia and Dominica too, but really most of the substance of our Caribbean businesses is in those two islands, and their behaviors are little different. So, a leading indicator of Grand Bahama typically is really very, very linked to the U.S. economy. So as the U.S. economy strengthens, I would expect to see the economy in Grand Bahama, strengthen of course tourism will also help there is you know, has been some shipping related cruise ship related activity would be another one to look at, but the biggest one for Grand Bahama would be really just a linkage to the U.S. economy. In Barbados, obviously is different. And there is principally tourism driven and so their tourism with the UK, Canada and U.S. being primary components of that, of course, much broader, but those would be the ones to look at. So it's really tourism in Barbados and the U.S. economy for Grand Bahama.
Operator: There are no further questions at this time. I will now return the call to Ms. Power for closing remarks.
Erin Power: Thank you, Chris. And thank you all for joining us and for your interest in Emera. I look forward to speaking with you again next quarter, and if you have any questions in the meantime, please feel free to reach out to myself and the IR team.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.